Operator: Welcome to the Dundee Precious Metals’ Q3 2015 Results Webcast and Conference Call. I would now like to turn the meeting over to Ms. Janet Reid. Please go ahead, Ms. Reid.
Janet Reid: Thank you. Good morning, everyone. I am Janet Reid, the Manager of Investor Relations, and welcome to Dundee Precious Metals third quarter conference call. With me today are Rick Howes, President and CEO and Hume Kyle, Chief Financial Officer, who will each comment on the quarter as well as Nikolay Hristov, Senior Vice President, Sustainable Business Development; and John Lindsay, Senior Vice President of Projects who are here today to assist with answering questions following our formal remarks. After close of business yesterday, we released our third quarter results and hope you had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during the call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollars unless otherwise noted. On this morning’s call, Rick will comment on our Q3 operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our Q3 financial results and our guidance for 2015. With that, I will turn the call over to Rick.
Rick Howes: Thanks, Janet and hello everyone and thanks for joining us today for our third quarter call. I'm pleased to provide you with an update on our third quarter results and progress and our value creation and growth strategies. Despite the weaker metal prices, we achieved good results in the quarter reflecting our continuing efforts to reduce costs and drive margin improvements in all our operations. We have reduced corporate G&A cost by 40% and exploration expenses by 26% this year compared to the first nine months of 2014, lowering our cost by over $13 million. Our all-in sustaining cost per ounce of gold in the quarter stood at $478 and is in the lowest cortile for gold producers. Our metals are intact to meet guidance for the year. Q3 production and concentrates of $52,876 ounces benefited from strong Kapan and Chelopech production. Including growing gold production from our pyrite concentrate circuit at Chelopech of $16,000 ounces which is now being operating since February 2014. Capital spending continue to decline, as our major capital spending program at the smelter nears completion and we focus on lowering, sustaining capital spending. We exited the quarter with a strong financial position with available liquidity and a $182 million in cash and undrawn revolving credit, and within all our key credit metrics. Chelopech year-to-date metals production is in line with guidance. Higher grades and recoveries are expected to the fourth quarter as we begin mining two stopes from our higher grade crown pillar. We continued to see unit cost coming down at Chelopech, it's already one of the lowest cost cash per ton underground mines in the industry. Unit cash cost per ton of ore mine currently stands at $36 per ton, then continues to decline as we implement our optimization programs and we benefit from the weaker Euro to the U.S. dollar. We completed 9,000 meters of diamond drilling in our in-mine program and 2,500 meters on our regional exploration program which continue to be successful, adding to the existing resources and reserves space, to extend the mine life and [indiscernible] to potentially increase mine production. Municipal elections in Bulgaria were held on October 25, with the ruling center right third-party, maintaining strong support and winning most of the key mayor positions. The incumbent mayors of both Chelopech and Krumovgrad won their elections. With the new election – with the election now over, municipality and government activities have returned to normal. We've made excellent progress on our permitting activities in the quarter. On October 12, the Krumovgrad main detailed development plan was approved by the Krumovgrad municipal council. Once a two week review period has expired and no objections have been raised, the final approved GDP will come into force. Once this is in force, we can seek final approval for re-designation of the land from forestry land to industrial land from the Executive Forestry Agency, which then allows us to initiate the land purchase process. We also received a waste water discharge permit in August from the Water Basin Director and have advanced approval of the new access road and discharge water line. We're now targeting land re-designation and purchase in the first half of 2016, and issuing of a construction permit by mid 2016. We expect to complete an updated execution schedule and associated capital cost estimate by the end of March 2016, and subject to the full funding being in place and construction permit in hand, we will then seek board approval for full project release. It is currently anticipated that construction could commence in the second half of 2016 which commenced in our production in 2018. Kapan metals production improved significantly in the quarter. All metals contained in both copper and zinc concentrates produced were well above previous quarters, with significant improvement and the grades achieved through the efforts on dilution control in the narrow lane mining. Recent problems with one of the two mines, two jumbos has reduced the mine developed inventory levels and the available working spaces for production. This will negatively impact operations in the fourth quarter and delay a further increase in metal production. However, the mine is expected to remain within guidance for the year. Cost continued to improve through the cost reduction effort assisted by the weaker Armenian dram to the U.S. dollar. Year-to-date unit cost per ton of ore mine in process is 12% lower than the previous year. The focus is continuing on developing and improving our skills and performance of the workforce and the key mining and support activities which now show good signs of improvement. At the smelter, we successful completed the new acid plan commissioning and handover to operations in Q3, which was a very significant milestone in our transformation of the smelter and to our commitments to the government of Namibia. First shipments of acids to customers commenced in August. The acid plan reached production rate – our full production rates in October and is running very well. TransNamib, the Namibian rail carrier also successfully ramped up their capability to meet the delivery requirements specified in our contract with them. Construction of the last piece of the current capital upgrade program, the new convertors is progressing well. The new converters, together with their associated off-gas system and tie-ins to the acid plant, which are being constructed in conjunction with the acid plant and form part of the overall scope of this project, are currently scheduled to be completed and commissioned in the fourth quarter of 2015 and put into operation in the first quarter of 2016, resulting in all off-gas being fed to the acid plant in the first quarter of 2016. The overall capital project remains on budget. Our environment and health monitoring results indicated we are seeing a significant improvement as a result of this transformative investment program. We continue to meet with the government technical committee to share the results of this effort. At Tsumeb, production targets were met during July and August 2015. However, higher than expected refractory where resulted in an additional shutdown of the Ausmelt furnace this year in September to replace the refractory lining. The shutdown was completed within 22 days and the smelter resumed operations on October 5, 2015. The current Ausmelt lining is expected to run through to June 2016 with a single outage plan at that time. This outage is intended to introduce additional operational controls in order to extend the life for the refractory lining beyond 12 months. As a result, forecasted production for 2015 is expected to be at the lower end of guidance. With the new convertors coming in line in early 2016, we expect a significant ramp up in smelter throughput to at least 240,000 tons per annum as we debottleneck the current convertor capacity. With third-party tooling rates continuing to improve and unit costs declined as throughputs ramp up, we are expecting significant margin improvements to occur in the smelter next year. We are considering further optimization of the smelter operations including the installation of a holding furnace which will provide search capacity between the Ausmelt furnace and convertors to potentially increase the throughput of complex concentrate to as much as 370,000 tons per annum, in order to further leverage the fixed cost infrastructure of the facility. Internal scoping level studies have been completed, showing the attractive returns on this investment. And we are currently conducting a pre-feasibility study which is underway and expected to be completed by the end of 2015. We continue to export potential partnerships to assist in this funding of the expansion. At our 50% owned Avala exploration project, work continues to on both the Tulare project in Southern Serbia and a Timok sediment-hosted gold project in Eastern Serbia with good success. In addition to this work, Avala carried out early exploration work on its 100% held Lenovac license, which is strategically located immediately south of the Reservoir Minerals, Freeport-McMoran Cukaru Peki discovery. This including putted mapping sampling in geophysics work. Avala is currently exploring the possibility of a joint venture partnership as it means to fund a deep drilling campaign on the Lenovac project. In summary, we remain focused on controlling and reducing costs and executing on our plan successfully to achieve performance targets we have set at each of our operations. As well as completing our mandatory capital commitments at the smelter and moving our Krumovgrad gold project forward. Thank you. I will now return our call over to Hume who will review the financial results and 2015 guidance, followed which we will open the floor to questions.
Hume Kyle: Thanks, Rick. I'll begin by touching first on our Q3 and year-to-date financial results. Adjusted net earnings were $0.03 per share for both the quarter and the first nine months of 2015 compared to a loss of $0.07 per share and a loss of $0.02 per share during the corresponding periods in 2014. Adjusted EBITDA for the quarter were $25 million compared to $9 million for the corresponding period in 2014. And similarly funds from operations were $20 million compared to a short-fall $3 million in 2014. These decreases were driven primarily by higher volumes of metals sold, a stronger U.S. dollar, higher volumes and tool rates of Tsumeb and lower G&A expenses, and was partially offset by lower commodity prices, higher local currency, operating expenses and higher deductions for estimated metal losses at Tsumeb resulting from elevated levels of secondary materials. For the first nine months, adjusted EBITDA was $6 million compared to $57 million in 2014, similarly funds from operations were $58 million compared to $47 million in 2014. These increases were driven by a stronger U.S. dollar, higher volumes of metal sold and lower G&A expenses partially offset by a higher proportion of third-party clients smelted at Tsumeb resulting in a overall lower total rate, lower volumes due to additional shutdown taken in September and higher deductions for stockpile interest and estimated metal losses as well as lower commodity prices and higher local currency operating expenses. From a cost perspective, our consolidated mining cash cost remained at low levels compared with our industry or industry peers and on a go forward basis can support the generation of positive free cash flow at current commodity price levels. And we have done some FX and copper byproduct hedging to reduce our exposure in 2016. Consolidated cash cost per ton of ore process for Q3 and the first nine months of 2015 was approximately $44 and $42, down 7% and a 11% respectively from the corresponding periods in 2014. Consolidated all-in sustaining cost per ounce of gold during the third quarter and first nine months of 2015 was $478 and $575 respectively compared with $876 and $819 during 2014. These decreases reflect the benefits of a stronger U.S. dollar, continuing efforts to reduce our mining costs as well as the impact of higher volumes of payable gold and lower sustaining capital expenditure and general and administrative expenses, partially offset by higher local currency operating expenses and lower byproduct prices during the period. Cash cost per ton of Tsumeb for the quarter and for the first nine months of 2015 were approximately $440 and $389 respectively, this is down from $510 and $352 for the same periods in 2014. The quarter-over-quarter increase or decrease was primarily due to higher volumes smelted and a weaker ZAR relative to the U.S. dollar, partially offset by increased fuel consumption, maintenance activities and electricity rates. The year-over-year increase was due to lower volumes smelted as a result of the additional time taken in September at Tsumeb. Sustaining and growth capital expenditures during the third quarter were $10 million and $18 million respectively for an aggregate spend of $28 million down from $39 million in the corresponding period in 2014. Sustaining and growth capital for the first nine months in 2015 were $22 million and $45 million for an aggregate spend of $67 million, down $90 million from 2014. These decreases were reflect ore sustaining capital across a lower rate of spending on the acid plant project which was completed during the quarter and a completion in 2014 of the pyrite project at Chelopech. For 2016 and beyond, we expect our sustaining capital expenditures to be in the range of $40 million to $50 million. Looking forward, based on our outlook for the balance of the year, we expect to achieve 2015 production and guidance that was issued in February, and to be below or the lower end of the range with respect to our cost guidance. Having said that, we have lowered the upper end of our guidance for Tsumeb to reflect the additional shutdown taken in September so the range now stands at a 190,000 to 200,000 tons. We have lowered our all-in sustaining guidance cost by roughly 10% to $650 to $750 to reflect lower mining and general and administrative expenses. We have lowered our G&A guidance to $25 million to $27 million, down from $37 million to reflect a lower overall spending rate, lower employ related expenses and a stronger U.S. dollar. And we have lowered our growth capital expenditure guidance by approximately $15 million to $55 million to $75 million to reflect a shift in the timing of our spend related to Krumovgrad. Based on this outlook and the current market environment, we expect to exit the year with cash and drawn lines under our revolving credit facility, up around $160 million to $170 million. With that, I'll turn the call back to the operator.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Sam Crittenden of RBC Capital Markets. Please go ahead.
Sam Crittenden: Thanks. Hi, good morning. Question on Tsumeb, the issue you had with the refractory liners and maybe you could just give us a bit more color on what you're hoping to fix with the new controls that you put in next year. And it's really just going to be an issue until there is a holding furnace I guess just, is that kind of a design issue that without the holding furnace you're always going to be kind of struggling to keep the refractory liners intact?
Rick Howes: Yeah Sam, it's Rick here. So the key factor that affects that refractory lining life in the Ausmelt furnace is really the cycle, the up and down heating and cooling cycles that occur as the smelter gets interrupted for any reason on its normal sort of run time. And that sort of takes the outer layer of the lining and sort of, because of that temperature changes causes somewhere the loss. So, one of the things we're currently looking at is a cooling system for the liner itself in the furnace and that cooling system it relates within the lining, helps to keep the temperature under control and pretty steady and reduces the chances of that problem exist.
Sam Crittenden: So that might be one of the things you put in next June?
Rick Howes: It's what we're certainly looking at that and doing the engineering on it now.
Sam Crittenden: Okay. And then just a question on the third-part concentrate you're receiving, obviously we're in a different copper market today. Are you still confident in getting the same volume of concentrate at current copper prices?
Rick Howes: Well, same in terms of feed, supply?
Sam Crittenden: Yeah, like in terms of available, do you see any of the mines slowing down operations I guess is my question.
Rick Howes: So far we haven't seen any of the current sources of feeds slowing down at all, in fact some are even proposing increasing.
Sam Crittenden: Okay.
John Lindsay: And we're fully contracted for next year.
Rick Howes: Yeah.
Sam Crittenden: Okay. And then question on Kapan, you've seen some improvements but now there is a bit of a set back here with some equipment but is it still progressing kind of just in general terms how you would expect and are you still thinking about deploying more capital in terms of an expansion maybe starting next year?
Rick Howes: I don’t see it expanding any expansion money next year, I think we've got to stabilize it to get the operation at the level that current, say fleet capacity and equipment and systems and so on are capable of achieving. So, the focus will continue on that through 2016 and until at that time that we see that level of achievement which is really more around the 600,000 ton a year you level, we won't spend additional capital.
Sam Crittenden: Okay, thanks very much Rick.
Operator: Thank you. The following question is from Trevor Turnbull of Scotia Bank. Please go ahead.
Trevor Turnbull: Yeah, hi Rick. Just curious about – you said that you're looking at the – an internal study with respect to the holding furnace coming out by the end of the year. And then I guess that moves into a more formal study for sometime next year. I just wondered, what would be the timing where the board would be at a position to decide kind of how it wants to precede with the holding furnace. Is that a decision for mid or late next year?
John Lindsay: Yeah, it's John Lindsay here. Yeah, the pre-feasibility study that we talked about, it should be finished by the end of this year, we'd be able to [indiscernible] and figure out the path forward from that, but it's likely your willing being. The feasibility study is a basic engineering through next year and then probably around the middle of the year and then we can figure out what – how we'll go forward from that.
Trevor Turnbull: Okay. And I guess that’s – so strategically I was thinking, so if you've got that decision coming up in the middle of the year and you're talking about Krumovgrad as well. Kind of how do you – are these things – do they need to be prioritized in terms of which one moves forward or is it something that they can both kind of proceed in parallel if the economics look good on each of the studies?
Rick Howes: Yeah, I mean I think we've mentioned that we're in discussions on potential partner shipping arrangement on the smelter that could help fund the smelter expansion. So we're trying to pursue that and at the same time we're continuing to work on our strategy for being able to move forward with Krumovgrad in the middle of next year which is kind of the timing we think we'll have all the permits and be in a position to make that decision.
Trevor Turnbull: Okay. And then I guess with the respect to Krumovgrad, Hume, mentioned the CapEx guidance of $55 million to $75 million. That’s the guidance for 2015, is that right, that range?
Hume Kyle: Yeah.
Trevor Turnbull: And you've made some comment with respect to a little bit dependent on – because that’s still a pretty big range given that we're kind of mid November, what was the swing factor in the range again?
Hume Kyle: I think it's an overall number and it's really just intended just to reflect the variability of the potential timing of cash spending, it just depends when invoice and when things get paid.
Trevor Turnbull: Okay, and so that sounds like it wouldn’t necessarily be Krumovgrad, it'd be more obviously projects where you are actively invoice or being invoiced Chelopech and the smelter and so forth?
Hume Kyle: Yeah, like for 2015 the reduction in our guidance is attributable to Krumovgrad but the spending for the balance of the year there wouldn’t be a lot of variability as it relates to Krumovgrad on growth projects. The one where there might be some variability would be kind of on residual spending that Tsumeb including the converters.
Trevor Turnbull: Okay. And then last question I had, you also mentioned a little bit about hedging with respect to 2016. Can you give us any details on kind of where you're thinking or where you're at on copper hedging in the next year?
Hume Kyle: Well, we have probably hedged about 60% of our copper production currently. And subject to pricing levels we would consider going up to sort of a full hedged position that for us would be at 90%. And not that we would necessarily put that on this quarter, but that’s something that we would consider doing if the opportunity arose.
Trevor Turnbull: And can you give us a sense of kind of where you've been able to get those hedges?
Hume Kyle: Yeah. I think the opportunity is 232 or 231, 231 to date.
Trevor Turnbull: Okay, great. All right, thank you very much guys.
Hume Kyle: Yeah.
Operator: Thank you. [Operator Instructions] The following question is from Don MacLean of Paradigm Capital. Please go ahead.
Don MacLean: Well, good morning guys. Nice to see a strong quarter and particularly out of Chelopech those are great grades. And maybe Rick, can you give us a bit of colors, what's the grade profile looking like over the next few quarters, you're into a crown pillar, how long can these higher grades last for?
Rick Howes: Well it's – those two pillars or those two stopes in the crown pillar area will be pretty much completed in the quarter, we carry a little bit into January but they're mostly in later part of November, December. And maybe, like I said, maybe first couple of weeks of January. So, that’s a high grade area that we typically that would maybe above once every – I'll say once about every five or six months we're cycling stopes with that area.
Don MacLean: Right. So if you were to sort of characterize how this quarter would look compared to say what you, say maybe a normalized level would be for grade for Chelopech, where would you expect that normalize grid to be?
Rick Howes: Well, I mean it's around the average reserve grade is what we're seeing, so just under 1% copper, around 1% copper I'll say is sort of reserve grade and gold at 3.3 grams, 3.4 grams. So, when you get the higher grade areas they tend to drive those up to 1.4, I mean 4% copper and 3 – like 4 grams or more gold.
Don MacLean: Okay, great. And then can you give us a bit of an overview of the Chelopech exploration, there was a lot of detail provided in the quarter but is it coming along as you expected or is it better than expected and what are your – what's your sense about the odds that being able to replace or expand the resource? Because you did mentioned the possibility of expansion of the production and even when we do that if you're failing off domestic.
Rick Howes: Yeah, I think we're getting very good results and you could see some drilling sections in the reports as much as 70, 80 meters intersections with I'll say gold equivalent grades between 5 and even some are high as 10 or 12 grams per ton. So, there is some pretty nice material that we're drilling into, most of it's are– through our in-mine program that we're doing. So, it's mostly in and around existing ore bodies that we're finding this additional ore. We started a program about two months ago where we moved some of our drills up to some of the old working areas of the mine, just to test to see if there was any remline ores left and that’s where we're finding some interesting results. We haven't – some of those holes that are shown in that quarterly report are actually holes in those new areas I'm talking about that we just moved the drills up to. So that’s pretty exciting and that’s kind of why we sort of commented that. If that continue drilling success, continues on, definitely has a big impact on the mines in terms of potential either to extend the life or expand production.
Don MacLean: And so if you try to put a timeframe around when you'll have a sense of that will you – maybe at the end of the fourth quarter or?
Rick Howes: Well, we'll certainly quantify what we can about from the drilling over the next say three months and see what it looks like and you obviously not going to put it into any category for a while, but in fact if it's a year we need to get a good handle on how much is there in terms of inferred resources and then obviously some additional time to convert to indicated resources. So, yeah it's going to take place over the next year. I think the early as we can see sort of the potential to evaluate early production out of that area would be sometime in 2017.
Don MacLean: Great, okay that’s helpful. And you mentioned third-party terms were improving for next year. Can you give us any kind of a quantum on that?
Rick Howes: This is for the [indiscernible] for the smelter.
Hume Kyle: Yeah, it's a tricky one because we're not terribly transparent about the specific rates that we are getting from third-parties. Over the last couple of years, much of the increase has occurred. There was a fairly significant step up year-over-year in terms of third-party tools and I would say next year it would probably be in the order of greater than 5% and less than 10% in terms of third-party increase.
Don MacLean: That’s good enough, that’s great. And that decrease in G&A, I mean that’s pretty astonish almost 40% over the last nine months. Is that a sustainable thing or what – I wish you could see other companies able to do the same thing.
Hume Kyle: It's a variety of factors to be honest, as I mentioned probably the biggest drivers are the – just overall spend reduction, so we're trying to tighten our belt and reduce headcount. But it is also influenced by the performance based compensation which has had a negative impact on the bottom line results for the – not a negative impact, but it's a negative impact, but there was a lot of negative impact related to our share price. We hope that aspect of the improvements isn't sustainable, but that is been a factor.
Don MacLean: That’s great, okay.
Rick Howes: And helped by the Canadian dollar to…
Hume Kyle: That would be up by the Canadian dollar.
Rick Howes: …to the U.S. dollar, but certainly the focus has been on that and we expect to keep that focus on that. So I don’t anticipate it's going to go up pricing, it's just – we were just basically focused on…
Hume Kyle: Yeah, if you look at all those things and all material contributing factors to the decrease that we're seeing, but there is just a portion that we would hope would not continue.
Don MacLean: Yes, understood. And then maybe just lastly on Tsumeb, you mentioned the government – you've been in discussions with the government about the results, the significant improvement in the emissions. Can you give us a bit of feedback as to how they're feeling about things?
Rick Howes: Yeah, the conversations are very good. And we're going to pass it on to Nikki, he spent more time with the technical committee.
Nikolay Hristov: Yeah, good morning. [indiscernible] we had a very important municipal visit on the site and the feedback from the visitors are very positive, on the basis of the improvement that the site have achieved for the last several years. So that gives us a commission [indiscernible] to significant milestone and now a commitment to improve the environmental performance of the site. So, I'd say our relationship with the government has improved dramatically and now the government is actually [indiscernible] is a good example of a cooperation between a company and the state in terms of improvement of facility, which has been under kept for many, many years. So, we're very happy with what we were able to achieve and how our relationship with the government is sort of revolving and progresses.
Don MacLean: Terrific. Okay, that’s great guys. And good luck with Q4.
Nikolay Hristov: Thank you.
Rick Howes: Thank you.
Operator: Thank you. There are no further questions registered at this time. I'd like to turn the meeting back over to Mr. Howes.
Rick Howes: Okay, thank you very much for joining us on that call and wish everybody a good week, and happy holiday season. Thanks.